Operator: Good day, ladies and gentlemen, and welcome to the Matrix Service Company Conference Call to discuss results for the Second Quarter of Fiscal 2018. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] I would now like to turn the call over to Kevin Cavanah, Chief Financial Officer. Please go ahead.
Kevin Cavanah: Thank you. Before I begin, please let me remind you that on today’s call the company may make various remarks about future expectations, plans and prospects for Matrix Service Company that constitutes forward-looking statements for purposes of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various factors, including those discussed in our annual report on Form 10-K for our fiscal year ended June 30, 2017, and in subsequent filings made by the Company with the SEC. To the extent the company utilizes non-GAAP measures, reconciliations will be provided in various press releases and on the company’s website. I will now turn the call over to John Hewitt, President and CEO of Matrix Service Company.
John Hewitt: Thank you, Kevin. Good morning, everyone, and thank you for joining us. This quarter, I want to highlight the work of one of our Subsidiary Presidents, Jim Ryan, who will be retiring at the end of this fiscal year. His leadership of the Matrix Servicing Subsidiary as well as his work as part of my leadership team has been invaluable to the growth of the organization as well as our safety culture. Jim joined Matrix in 1999 and was promoted as the President of Matrix Service Inc. in 2005. Under his leadership, this subsidiary has transformed itself to one known for the construction of above ground storage tanks and refining maintenance to an industry leader and full terminals and complete lifecycle solutions across the energy and industrial markets. When Jim joined Matrix Service Company, our consolidated revenue was $211 million. Jim has been instrumental and helped to grow and diversify our business to the $1.2 billion company we are today, a six fold increase. While I think we will all agree these clear achievements are significant, none or more significant than the impact Jim’s leadership has had on the safety culture of our organization. As you know, our goal each year is to achieve zero incidents and maintain and improve our premier safety culture. The total recordable incident rate, TRIR, for the Matrix Service Inc. subsidiary has improved from 1.4 in 2005 to 0.29 in 2017, an achievement that ranks this organization alongside other world-class Construction Industry Institute member companies. This demonstrates significant improvement in our total recordable incident rate that could not be achieved without the strong leadership provided by Jim throughout his entire career at Matrix Service. I want to thank Jim, and we appreciate his outstanding service for the company, our employees and our shareholders. Moving on, last quarter, we began our call by reviewing our diversified business model and how it contributes to the strength of our overall business and also allows us to react to actively navigate the cyclical nature of the end markets we serve. The same is true in this quarter. In our second quarter, revenue in our Oil Gas & Chemical segment increased 59%, while revenue in our Industrial segment more than doubled. In Storage Solutions, while volume has been impacted on delayed project awards associated with full terminal work or traditional new tank correction combined with specialty vessels has been strong with an expanding slate of opportunities over the same period in last year. In this segment, we achieved the second quarter book-to-bill of 1.8. Volume in the high voltage portion of our Electrical Infrastructure segment was lower than our expectations due to reduced client spending and changes in their procurement methodology. Because of our concentrated Northeastern geographic service territory, we can be material impacted by our client spending priorities. That’s said, our strong brand position in this territory along with the infrastructure needs that exists across all of North America for substation; transmission and distribution create not only the strategic need, but also significant opportunity for Matrix to grow in other geographic regions. Volumes in this segment, compared to previous quarters, were also impacted by our strategic shifts in power generation away from large ETC projects to smaller work packages, where we continue to find success. Represented examples include the centerline installation, sacks and selective catalytic reduction system for Gemma Power at the Exelon West Medway Facility and the aboveground electrical balance of plant for PSEG’s new Combined Cycle Power facility, Sewaren 7. With continued demand for gas fired power generation, we expect our work in this market to grow. We’re also happy to report that our consolidated book-to-bill in the first six months was 1.1. And that -- since the close of the second quarter, this trend has accelerated with additional significant and strategic project awards. Many of these are the first in a number of delayed awards; we have discussed on past earnings calls. And we expect this upward trend in project awards to continue based on customer confidence on the improving market conditions and the strength of our opportunity pipeline. However, let me caution that these recent capital project awards will not have a major impact on revenue and earnings until our fourth quarter. We expect our third quarter to reflect lowest results for the year based on initial work that is principally made up a low margin maintenance services and small cap projects. That’s said, the improving market conditions that began in early calendar 2017 are found that impacting our project awards. According to the World Bank, global growth in 2018 is expected to improve to 3.1% after a stronger than expected 2017 are continued recovery in investment, manufacturing and trade. This is supported by the Institutive for Supply Management’s most recent consolidated purchasing managers’ index of 59.1%, which has been on a global trend with 17th consecutive months and supports the typical late-cycle improvement in our maintenance and capital projects business that we’re beginning to see. Commodity prices are also improving with the majority of the 16% increase in the spot energy index in 2017 occurring in the second half of the year and the industrial metals index improving 32% overall. Global energy demand continues to rise on growing population and organization and a business trend in U.S. regulatory, tax and policy agenda supports U.S. investments in industrial and energy infrastructure as well as the overall economy. I’ll share more in the outlook within our end markets in a few minutes. But before I do, I’ll ask Kevin to review our second quarter results.
Kevin Cavanah: Thank you, John. Before we get into the specifics, I will give a high level overview of our quarter. Results for our second quarter were mixed. We had strong results in both our Oil Gas & Chemical and Industrial segments. The Oil Gas & Chemical segment has good revenue volume throughout the segment combined with strong project execution. The Industrial segment has significant revenue growth resulting in noteworthy operating income improvement. In Storage Solutions, revenues continued to be impacted by delays in project awards, but the same time, we recorded the largest volume of awards in this segment in 10 quarters. Volume in the high voltage portion of our Electrical Infrastructure segment was lower than expected as a result of reduced client spending and our strategic shift in power generation away from large EPC projects and smaller work packages. Solid project execution along with year-over-year improved construction overhead cost recovery resulted in a consolidated gross margin of 9.4%. The company continued our focus on balancing overhead cost levels, while making sure we maintain the infrastructure needed for the project opportunities we see ahead of us. SG&A cost were higher this quarter than the same period last year, as a result of our engineering acquisition for mid fiscal 2017. Legacy SG&A cost are flat quarter-over-quarter. Our tax expense was lower than originally forecasted as a result of the passage of the Tax Cuts and Jobs Act. I’ll discuss this impact in more detail later in the call. The bottom-line is we delivered earnings per share of $0.17 in the quarter. Now let’s move on to discussing more specific results. Consolidated revenue for the quarter was $283 million as compared to $313 million in the prior year, a decrease of $30 million. The decrease in revenue on the year-over-year basis was primarily due to our Storage Solutions and Electrical Infrastructure segments, which was partially offset by higher iron and steel work in our Industrial segment and higher volumes in our Oil Gas & Chemical segment. We produced the consolidated gross profit of $26.7 million for the quarter compared to $28.2 million in the prior year quarter. The decline in gross profit was a result of lower revenue volume that was partially offset by improved gross margins, strong project execution as well as improved construction overhead cost recovery allowed us to achieve the consolidated gross margin of 9.4%. In the prior year consolidated gross margin was 9%. Consolidated SG&A cost was $21.5 million in the second quarter compared to $20 million in the prior year. The increase was primarily due to overhead in amortization of intangible assets associated with an acquisition that expanded our engineering business. In the second quarter, the company earned pre-tax income of $4.3 million as compared to $7.8 million in fiscal 2017. As a result of the recent Tax Cuts and Jobs Act, the company reported a $1.9 million positive tax adjustment to our second quarter results. In summary, the changes are as follows. First, we reduced our effective tax rate to 32% for fiscal 2018 based on a blended federal statutory rate of 28%. This resulted in a $700,000 tax benefit related to reducing the first half of the year income tax expense on the new reduced federal fiscal 2018 effective tax rate of 32%. Second, we recorded a $1.2 million tax benefit related to the re-measurement of domestic deferred tax assets and liabilities. After tax adjustments, the company reported net income of $4.5 million or $0.17 for fully diluted share in the second quarter of fiscal 2018 compared to $5.3 million or $0.20 in the prior year. Now, let me talk about our second quarter segment performance. In our Electrical Infrastructure segment, revenue of $65 million was a significant decrease versus the prior year of $103 million, primarily due to the expected wind-down of work on a large power generation project as well as lower volumes in our high voltage business, the decreases will partially offset by spending on other power generation or packages. Electrical Infrastructure gross margins of 8.5% were up from 7% achieved in the same period last fiscal year. Our long-term margin goal for this segment remained at 11% to 13%. However, given current market conditions and our mix of work, we do not anticipate achieving this range in fiscal 2018. Revenue for the Oil Gas & Chemical segment increased 59% to $88 million in the quarter, up from $56 million in the prior year period. The increase was driven by increased capital project or increased engineering work in the gas market and higher volumes of refinery turnaround and maintenance work. Gross margins were 13.3% in the quarter versus 4.4% in the same period last year. The current year margins benefited from strong project execution and improved recovery of construction overhead costs. Despite the strong margin performance in the quarter, our long-term margin goal for this segment remains unchanged as we continue to target sustainable margins in the 10% to 12% range. Quarterly revenue for Storage Solutions was $71 million as compared to $129 million in the prior fiscal year. The higher volumes in the prior year were primarily driven by the work performance connection with the construction of the six crude gathering terminals for Dakota Access Pipeline. In addition, fiscal 2018 revenue has been impacted by continued delays and expected large capital project awards. As a result of the lower revenue volume, we under recovered our construction overhead costs in the quarter with gross margins volume to 7.5% in the quarter from 13.3% in the year ago period. As indicated earlier, we achieved the strong book-to-bill of 1.8 in the quarter for this segment indicating a return of strength to this market. As a result of recent awards, we are increasingly confident that the volumes in this segment will improve significantly as we move into the fourth quarter of the fiscal year. This improvement should result in recovery of overheads and improve the margin profile of our work resulting in an improvement in gross margins more in line with our normal expectation of 11% to 13%. Moving onto the Industrial segment, revenue more than doubled on a year-over-year basis to $59 million, an increase on increased volumes from iron and steel customers compared to revenue of $25 million last year. Gross margins were also up to 6.9% compared to 5.9% for the same period in the prior year. The current period saw improved margin performance due to higher volumes of work, which led to increased recovery of construction overhead costs. The market environment for our Industrial segment has been difficult for last couple of years largely due to the price weakness and many of the commodities that are critical to our customers businesses. Commodity prices have improved, and as a result our customers’ bidding has increased as evidenced by year-to-date awards of over $200 million in the Industrial segment. Additionally, we continue to see robust bidding activities and believe we are in the early stages of a multi-year upturn in activity. Increased revenue volumes and an improving mix of work should allow us to continued expected gross margin range of 7% to 10% as we move through fiscal 2018. Now, I’ll briefly discuss our six months results. On a consolidated basis, revenues for the first half of fiscal 2018 were $553 million as compared to $654 million in the prior fiscal year. Gross profit for the six months period totaled $56 million versus $60 million in the prior year. And margins were higher year-over-year due to stronger project execution and improved construction overhead cost recovery, but this improved performance was not enough to overcome the effect of the lower revenue volumes. Consolidated SG&A expenses were $43 million and $38 million for the six months ended December 31, 2017, and 2016 respectively. The variance is primarily due to overhead and amortization of intangible assets associated with an acquisition that expanded our engineering business. We continue to balance our cost structure against the future opportunity in pipeline and are currently looking at other structural changes to maximize business efficiency. Net income for the first six months of fiscal 2018 was $8.4 million as compared to prior year net income of $14.6 million with fully diluted EPS of $0.31 and $0.54 in the same periods. Moving onto backlog, we are encouraged by the continued upward trend in awards and the book-to-bill of 1.1 for the first six months of this fiscal year. The backlog balance at December 31, 2017, stood at $725 million, the pace of new awards is continuing to trend upward as supported by the strong post second quarter awards discussed previously. Moving on to liquidity, at December 31, 2017, the company’s cash balance is $74 million with debt outstanding of $51 million. The cash balance along with availability and the continued credit facility gives us a liquidity position of $100 million at December 31, 2017. Since the end of the quarter, the company has prepaid $35 million of debt, while maintain and cash balance in excess of $16 million, further strengthening the company’s liquidity. Our solid liquidity position should strengthen further by the end of the fiscal 2018 third quarter as the facility constrained calculation will no longer include the financial results of the third quarter of fiscal 2017. As a reminder availability under the credit facilities based upon performance of the company over the most recently completed 12 months. The company’s liquidity continues to support execution of our strategic plans, funding in working capital, letters of the credit required to support and expanding backlog and funding capital expenditures with the target below 1% of the annual revenue. Finally to discussed guidance. As we see the rest of the year and folding, third quarter revenues will be consistent with the first two quarters with less margin opportunity because of the mix of work. However, we expect fourth quarter revenue and mix of work to improve significantly as we begin work on the project awards previously discussed. Taking this all into consideration, revenue guidance is being reduced from between $1.225 billion and $1.325 billion to between $1.15 billion and $1.1225 billion. Our company is maintaining its fiscal 2018 earnings guidance of between $0.55 and $0.75 for fully diluted share. I’ll now turn the call back to John.
John Hewitt: Thank you, Kevin. Before we open up for questions, let me share with you more about our market outlook and opportunities that exist as end markets continue to improve. In energy market, as the U.S. develops the share resources, it’s ability is not only supply some energy but play significant role in global energy markets is creating billions of dollars in new infrastructure construction, maintenance and repair opportunities across North America, Mexico and the Caribbean. As a top tier EPC contractor with an industry leading position in storage tanks, specialty vessels and associated terminals as well as a strong brand in refinery maintenance and turnarounds and gas processes systems makes us for earn of share this business. Our Storage Solutions segment will not only benefit from continued crude oil and natural gas pipeline buildout, which will require storage and terminal infrastructure, but also the extensive buildout of energy export infrastructure to meet global demand. Our Oil Gas & Chemical segment will benefit from gas pipeline expansion with the capital construction of new gas processing infrastructure as well as the maintenance and repair of gas processing assets. Additionally in North American refineries where a substantial part of the Oil Gas & Chemical work has been generated positive market dynamics as well as compliance with environmental regulatory requirements are driving significant capital spending. At the same time the typical cycles for heavy and mechanical turnarounds, all pointed to our improving market conditions in the spring of our fiscal 2018 and a busy fiscal 2019. We’ve also established leading offices in California to meet the requirements of the State Senate Bill 54 and the needs of our refinery customers in this State who choose the new installations. In the chemical industry, our market segment in which Matrix has not previously held the material position, the abundant low cost of natural gas and other fee stocks is driving new capacity investment. This creates a substantial strategic opportunity for Matrix to transfer the skills we have owned in refinery work for maintenance, turnaround and small capital projects in this strengthening market segment. Both the Storage Solutions and Oil Gas & Chemical segments were greatly benefited from our strategic decision to expand Matrix PDM Engineering in order to provide earlier and alternative points of project engineering, additional capacity and expertise to execute multiple projects combined with larger scope to the work on storage terminals including marine structures, leading expertise of design and construction of gas processing infrastructure and experience with international projects through our offerings. Across North America, billions of dollars in plant projects expanding exists in both power delivering and generation site effect that demand remains fairly staging. This spending is driven by an aged infrastructure, a need of great modernization, interconnects and repairs, a desire for cleaner energy and the opportunity to take advantage of substantial supplies with domestic natural gas. This outlook offer significant opportunity in high voltage work in our Electrical Infrastructure segment to further develop and expand our market leading position in the Northeast as well as expand our geographic markets through a combination of organic and selective M&A transactions. Doing so will allow us to take advantage of spending on high voltage substation, transmission and distribution work as well as unanticipated storm work, day to day life extension, system hardening and emergency maintenance and repair demands. It also allows us to continue to target specific smaller construction opportunities for new build gas fired generating facilities. We also see improvement across the industrial markets we serve, specifically with improvement in commodity prices and industrial metals, maintenance and capital spending, and the iron and steel business has increased as demonstrated by the results in our Industrial segment. With improvement in copper pricing, our key mining customers are also beginning to plan for increased maintenance spending and capital projects. Because of our expanded engineering capabilities, we see more opportunities in other industrial terminal markets, including cement and bulk material handling. And finally with niche expertise in the design and construction of thermal vacuum chambers, which are used for the testing of satellites and other space related equipment, we’re uniquely positioned to expand our current vacuum chamber work with new opportunities that exist in the marketplace. So in summary, as we’ve discussed in earlier calls, we have a vision, strategy and plan to build on our already strong foundation. The improvement in our end markets is finally beginning to have a positive impact on our business; the long-term outlook across all of the end markets is strong. We’re well positioned to take advantage of these end markets, we have a world-class storage brand, we have a full terminal EPC contractor for liquids, gas and solids, we have broad engineering knowhow in-depths, our power generation and delivery scales are sharp, we are laser-focused on people and our culture, our brand and ferrous and non-ferrous metals is strong, we have top tier safety performance, which is a continuous focus and the strength of our balance sheet supports our strategic vision. As a result, we expect to capitalize on the significant opportunities ahead and achieve our long-term strategic goals. I’d now like to open the call up to questions.
Operator: [Operator Instructions] Our first question is from Tahira Afzal with KeyBanc Capital Markets. Your line is now open.
Unidentified Analyst: Hi, good morning guys. This is Patrick on for Tahira. Congrats on the quarter.
Kevin Cavanah: Good morning, Pat.
John Hewitt: Good morning.
Unidentified Analyst : I guess, first looking at Oil Gas & Chemical. How much of the work this quarter was related to storm work versus reoccurring work? And then, I know, you mentioned a little bit about turnaround activity, but how robust you see this spring turnaround season being and maybe? Any additional colour around this year’s spring and fall turnaround would be appreciated.
Kevin Cavanah: So I’ll answer the first part and then turn it -- just turn over to John for turnaround. Storm work in the quarter was really not material. I don’t think it had a significant impact on revenues these days related to work for our customers. Now, there was a decrease in spending in the Northeast and that could have been partially the result of resources being allocated down in Caribbean, take some of that revenue volume away from this affecting that some impact. It definitely wasn’t a positive impact in the quarter.
John Hewitt: As it relates to the refinery turnarounds, we’re seeing a trend either continued improvement in higher spending by our refinery clients or our turnarounds, there is more turnaround both heavy in chemical and the size of the turnarounds have also corrected out. So we’re expecting this spring’s turnaround cycle to be greater than last years. And as moving into our fiscal 2019, we’re expecting next fall’s turnaround cycle and the spring of 2019 to be better than this year. We like a lot of turnaround contractors were able to get out in front with our refinery clients and started doing planning and scope development with those clients. And that gives us some whole side into the future of what it looks like, what their spending patterns going to be.
Unidentified Analyst: Okay, great. And then I guess as we’ve seen the continued softness in the electrical segment, do you think you have to peel back any portions of that business bringing gross margin back to double-digits? Or I guess, what initiatives or plans would you have to consider to improve that segment?
John Hewitt: So the strategic thing for -- first of all, we’ve got a -- again, we’ve got a great brand positioning in the Northeast. There continues to be opportunities for us to spread our client base within the Northeast and we’re continuing to do that to make investments in people and equipment to expand those services. And we’re also, currently organically moving into Western Pennsylvania, Ohio, Chicago area as we sign MSAs with local power generating companies to provide similar services that we provide in the Northeast. And then we are -- we will be actively looking for acquisition in 10 targets where we can also expand our Electrical Infrastructure business. So we’re -- the issue for us is while we get a great brand position in the Northeast, couple of our clients there, our key pieces of our business, and if they, for whatever reason, happened to change their spending priorities either to support storm repair and emergency services into areas of the country, they have got -- they have been affected by a hurricane or if they’re managing interim capital spending plans, that could have an effect on our performance. And I think that’s principally what you’re seeing -- and what we’ve seen in the first six months of this fiscal year. The spending volumes were down for what is historical run rate in projects and revenue spending that we see in this period of the year.
Kevin Cavanah: One of the things to add on is that, if you recall, we’re still completing the work on the power generation facility up in Canada, and that -- we restructured that contract in mid calendar 2017. And as a result, all the work we’re completing is now on, especially a reimbursable basis. Lower risk it is for also low -- we’re not making a lot of that operating profit because of that.
Unidentified Analyst: Thanks for the colour guys. I’ll halt back into queue.
John Hewitt: Thank you.
Operator: Our next question is from John Franzreb with Sidoti. Your line is now open.
John Franzreb: John, [indiscernible] worked with us. Please explain your comments?
John Hewitt: Yes, we were curious if they’re going to put the Tesla in one of those vacuum chambers before we shut it off.
John Franzreb: I’d just like to check on your most recent commentary about the spring turnaround season. Could you say the fall is looking better than the spring as spring size up right now? And if you still feel that the spring is a fully booked to really healthy turnaround season for you?
John Hewitt: We’re expecting this strength that we’re entering here in another month will be stronger than last year based on what we -- the bookings that we have for turnarounds. And we’re anticipating the fall of this calendar year to be even stronger not only than the spring but also the fall of last year. So yes, we’re seeing strength return in the refinery turnaround cycle. We actually had -- fortunately or unfortunately we had a fairly large turnaround for one of our key refinery clients to move out of the spring because they were having some problems getting their equipment available and moved into next fall. So that’s just compounded for us the amount of work that we’re going to have in next fall.
John Franzreb: Got it. And when you lower your revenue guidance, I assume its deferral some of these lowest projects, you alluded to the storage side of the business, maybe you guys most of it or not. But, I guess, my question is, is that on what way you’ve seen sort of deferrals or is it in other segments and there will be some sort of cash protect in the year or so?
John Hewitt: So with the big revenue volumes are associated with some of the larger terminal projects that we have been bidding and talking about for some time, we’re starting to see those come through actually, as Kevin had -- one of us noted earlier that in the – since the close of the quarter, we’ve had some uptake there on some of those projects. And so we’re starting to see those things actually come through to the organization. And so, while that’s good news from an award cycle, it does take some time for the heavy revenue of those projects to start to impact your bottom line of the business. So while those initially as well as a lot of engineering work, renewing activity before we get into the field and start heavy construction. So that’s why we’re advising this -- as these awards start to come in, it’s not an immediate next day impact of the bottom line of the business.
Kevin Cavanah: Yes. And when we started the year, we thought that these awards would start happening in the first half and we will start to see in revenue volume really picked up in the third quarter. So the awards haven’t happened quite quickly as we anticipated. And so now that revenue uptake is now shifted from the third to the fourth and even revenues that basement shifted out to fiscal 2019 and beyond relate to those, because really we haven’t seen the anticipated awards go away at this point, it’s just slower awards than we anticipated.
John Franzreb: So is the backlog sufficiently now to hit the low end of your revenue guidance?
Kevin Cavanah: Yes, I think that we’ve spend a lot of time looking at where we’re seeing for the rest of the year and we feel good at that from the revenue guidance have to end, we’ve adjusted it because of the awards. I don’t think we’ve – there is always risk, uncertainty in forecasting revenues, but we feel like we’ve accounted for the delays that have happened.
John Franzreb: Got it. And despite the lower revenue profile and EPS outlook, I wonder if you could kind of quantify how much of that is the effectively lower tax and or how much is that maybe on somewhat higher margin implications? We’re starting to see it in the oil and gas side part of the business maybe [Indiscernible] so maybe little bit start to begin at the moment?
Kevin Cavanah: Yeah. So, you’re right, we’ve left the EPS guidance unchanged, and the tax acts helped us do this. Obviously, we’re -- with revenues going to pushed out, margins going to pushed out. And we also have an impact on recovery. So, we have $1.9 million positive benefit in the first six months from the tax act. A big piece of that was a onetime impact, but our effective tax rate going forward, we previously forecasted a 38% of effective tax rate, now we’re looking at something like 32%, so that’s going to have a few cents to the back half of the year maybe $0.03, $0.04. So you’re – we would have been toward the lower end of the range on EPS and we would have to consider safety net down without the tax act.
John Franzreb: Okay. Okay. Thank you. I’ll get back in the queue.
Kevin Cavanah: Okay.
John Hewitt: Thanks, John.
Operator: And I’m currently showing no further questions. I will now like to turn the call back to John Hewitt for any further remarks.
John Hewitt: I just want to thank everybody who attended today’s call. And we look forward to talking to you sometime in the near future.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. You may all disconnect. Everyone have a great day.